Operator: Ladies and gentlemen, thank you for standing by and welcome to the NVE Conference Call Second Quarter Results. [Operator Instructions] As a reminder, today's conference call is being recorded. I would now like to turn the conference over to your host Mr. Daniel Baker, President and CEO. Sir, you may begin.
Daniel Baker: Good afternoon, and welcome to our conference call for the quarter and 6 months ended September 30, 2021. This call is being webcast live and being recorded. A replay will be available through our Web site, nve.com. Joined by our new Controller and Principal Financial Officer, Jon Larson. Jon started his career at Eide Bailly in his previous experience as a Controller. He has a B.S Degree in Accounting from St. Cloud State and an MBA from the University of Minnesota, and he is a certified public accountant. We are happy to have him. Curt Reynders retired October 1 as our CFO after more than 20 years with the Company. Curt started as Controller in 2001 and was named CFO in 2006. We wish him the best. His retirement was planned and first disclosed in an 8-K in July. After my opening comments, Jon will present a financial review. Then I'll cover the business and new products; and then we will open the call to questions. We issued our press release with second quarter results and filed our quarterly report on Form 10-Q in the past hour following the close of market. Links to the press release and 10-Q are available through the SEC’s website, our website, and our Twitter timeline. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including among others such factors as risks and uncertainties related to future sales and revenue, uncertainties related to future dividend payments and risks related to the COVID-19 pandemic as well as the risk factors listed from time to time in our filings with the SEC, including our annual report on Form 10-K for the year ended March 31, 2021 as updated in our just filed 10-Q. Actual results could differ materially from the information provided and we undertake no obligation to update forward-looking statements we may make. We're pleased to report our second consecutive quarter of large year-over-year increases in product sales, total revenue, and earnings. Product sales increased 59% from the prior year quarter; total revenue increased 56%, and net income increased 64%. We reported earnings of $0.75 per share for the quarter versus $0.46 for the year-ago quarter. Now Jon will cover the details of our financial results. Welcome to the microphone, Jon.
Jon Larson: Thanks, Dan. I'm very excited to join NVE and want to thank Kurt, Dan, the Board, and all the NVE employees who have helped get me up to speed. As Dan said, total revenue for the quarter ended September 30, 2021, increased 56% to $6.82 million compared to $4.38 million last year, due to a 59% increase in product sales, partially offset by a 13% decrease in contract R&D revenue. The COVID-19 pandemic had a significant impact on revenue in the past year’s quarter. We believe those effects are subsiding, although risks and uncertainties remain. We were impacted by widespread supply chain challenges and shortages of semiconductor materials and services, but it was a double-edged sword and that we may have picked up business from competitors, who are more severely affected by the shortages. Expenses increased 1% for the quarter from the prior year due to a 35% increase in SG&A, partially offset by a 13% decrease in R&D. The increase in SG&A was due to increased employee compensation expenses. The decrease in R&D expense was due to staffing changes and the completion of some new product developments. Interest income decreased to $295,000 for the most recent quarter from $401,000 in the prior year quarter, due to decreases in our available-for-sale securities and a decrease in the average interest rates on those securities. Net income for the quarter was $3.65 million or $0.75 per diluted share compared to $2.22 million or $0.46 last year. We continue to generate strong profitability. Gross margin was 77%, operating margin was 60%, and net margin was 53%. For the first six months of fiscal 2022, total revenue increased 56% to $14 million from $8.97 million for the first 6 months of the prior year. The increase was due to a 59% increase in product sales partially offset by a 13% decrease in contract R&D revenue. Net income for the first 6 months increased 56% to $7.23 million or $1.49 per diluted share from $4.63 million or $0.96 per share for the first half of fiscal 2021. Capital expenditures were $74,000 in the first half of the fiscal year, after no capital expenditures in the prior-year period. These expenditures were primarily to increase our production capacity to alleviate potential production bottlenecks. We're planning additional capital expenditures in the second half of the fiscal year in the $0.5 million range. We're also repurposing part of the building for production to make room for new equipment. We paid at $1 per share dividend in the past quarter, and today we announced that our Board declared another quarterly dividend of $1 per share payable November 30 to shareholders of record as of November 1. Now, I'll turn the call back to Dan to cover the business and new products. Dan?
Daniel Baker: Thanks, Jon. I'll cover business and new products. As Jon said, we continue to manage the challenges and opportunities presented by the global semiconductor shortages. Some analysts have said shortages could last several more years. Raw material and packaging service lead times have increased, and prices of many raw materials have increased. We've addressed these threats by increasing inventories at all stages and increasing our production capacity to support converting that inventory to finished goods. We've increased some prices where we've had to because of higher material and labor costs. For other parts, we've been able to keep our prices the same, while improving our competitive position. The shortages have created opportunities to provide products where we have dropped in replacements for competitors, particularly couplers and isolators. We’ve won some business because we have parts available and we hope to keep that business by demonstrating we're a reliable supplier with excellent product performance and quality. In addition to the expansion of our test area that Jon mentioned, we are repainting, recarpeting, and doing other remodeling to make our workplaces more pleasant and efficient. Most of the walls are a color called Gray Matters, which we thought was appropriate since our employees' gray matter is our most important asset. Most of the remodeling costs are covered by a tenant improvement allowance included in the lease renewal we signed in early 2020. We had postponed most of the work due to the pandemic. Turning to new products. In the past quarter we introduced a line of sensors and expanded our line of isolators that include integrated DC to DC converters. The new line of sensors is billed as the world's first tunneling Magnetoresistance gear tooth sensors, and are designed to measure and control rotation. The newer sensors can be more precise than our venerable giant Magnetoresistance sensors. We have demonstration boards that showcase angular resolution of a few thousands of a degree. There's also a video of the demonstration on our YouTube channel. Also in the past quarter, we expanded our line of products that include converters to transmit power as well as data in smart grids, industrial networks and cars. Conventional network electronics often require two power supplies. One for a controller, and another for a network bus. The new parts eliminate the need for a network bus power supply. The new isolators also address one of the biggest challenges for smart grids, which is that microcontrollers run on low voltages, like 3 or 5 volts, while motors that consume energy such as those in furnaces or refrigerators run on 120 or 240 volts. The new parts provide a bridge between control systems and line voltage measurements, allowing more efficient control of motors and other energy consumers. There's a video demonstration of the safe -- safely measuring the current of 120 volt motor with 3 volt electronics on our YouTube channel. Most of the new isolators generate a 3 volt network supply from a 3 volt controller supply, but one of the new products has what's called a boost converter. It boosts a 3 volt power supply commonly used for microcontrollers, to the 5 volts used for many industrial networks. In the past quarter our advanced technology team also worked on spintronic memory or MRAM under a customer-sponsored R&D contract for custom parts. MRAM is one of our core technologies. We manufacture MRAMs for specialized applications such as anti-tamper and these programs allow us to build our technology capabilities. Turning to sales and marketing. Last month, we attended our first in-person trade shows since the pandemic began. Sensors Expo is billed as North America's largest event dedicated to sensors, connectivity and the Internet of Things. Attendance was less than the last time the conference was held in 2019, but we had some good leads and it was great to get in front of customers and prospects. Turning to governance, our Virtual Annual shareholders meeting was in August. Unfortunately, we couldn't meet many of you in-person as we had for years before the pandemic. Our YouTube channel has a playlist of new product demonstrations we are planning for an in person meeting. We hope to have an in person meeting next year. James W. Bracke was elected to Board for the first time at the annual meeting. Jim is an accomplished executive and highly experienced public company director. He was the CEO of Lifecore Biomedical for more than 20 years. His management, technical, medical device and public company experience and his medical education qualify him to serve as a Director. After 7 years on our Board, SurModics CEO, Gary Maharaj didn't stand for reelection. We appreciate his service. Our executive officer compensation supports goals of profitable growth and improving long-term shareholder value without being excessive, and shareholders overwhelmingly approved officer compensation. And finally, the selection of our auditors was ratified at the annual meeting. We filed a Form 8-K with details of the shareholder votes. Now I'd like to open the call for questions. Valerie?
Operator: [Operator Instructions] We have a question from Jeff Bernstein of Cowen. Your line is open.
Jeff Bernstein: Hi, Dan and Jon. Couple questions for you here. The increase in SG&A, was that largely driven by sales commissions? I see that you had some advertisement about looking for electrical engineers. I don't know if you were hiring for R&D purposes or some sales engineers. Maybe talk a little bit about that.
Daniel Baker: Yes, absolutely. This is Dan. So, we have been adding people with the increase in sales, and with some of the challenges that we face now in logistics that we didn't have a couple of years ago. We've added a number of very talented people. We are recruiting for an engineer as you noticed, and our engineers typically do quite a bit of sales support. They know the products and we want to get them in front of customers and talking to customers. So, the short answer to your question is yes, a lot of the compensation was incentive-based compensation. We've had a lot of challenges. And our folks have risen to the challenge as evidenced by the increase in product sales and revenue overall, and we've also been adding staff, and we've got a great reserve of talent and some very talented technical staff and some of them have joined the company relatively recently.
Jeff Bernstein: That's great. Thanks. And then you alluded to this and some success as a result of this kind of seminal opportunity with the tightness in the semiconductor industry to potentially get in and get some designs from customers who weren't in previously who are looking for alternative sources. Is there any way you can quantify anything about design wins or inbound calls or Web site traffic or anything that's your favorite metric to talk about that a little bit?
Daniel Baker: Yes, it's -- that's a great question. It's hard to come up with specific metrics that we could consider reliable. Design wins can vary. A design win could be a few parts or it could be hundreds of thousands of parts, but we spend a fair amount of time now working with customers who are frustrated by the shortages by some conventional semiconductor manufacturers. We look at how we can drop in and replace their parts, whether we can redesign boards and improve their performance. And those inquiries are much more frequent now than they were. And we -- I can tell you personally, sometimes early in the morning, we'll get emails from Europe and from Asia from customers who see our parts and want to know exactly how they work, how they'll work under certain circumstances. And we spend a fair amount of time answering those questions and many of those result in design wins, especially in couplers and isolators where we have -- as you know, we have some drop in replacement parts for conventional semiconductors, where we have the same package types, the same pinouts. So, in many cases, it's drop-in replacements. In some cases, it's a different part, usually a better part, of course, and we work with the customer to figure out how we can serve their needs and get our parts into their application.
Jeff Bernstein: And then, Dan, what's kind of the lead time to be able to serve somebody who wants to do a drop-in replacement with a pin compatible part? Is that weeks or months or any color on that?
Daniel Baker: Yes, that's a good question. It's a lot shorter than it used to be because in many cases, these folks are coming to us because they can't get the parts that they had been using. So, if it's a drop-in replacement, and it's parts we have in stock, we'll ship them out the same day. In some cases, the customer -- in many cases, the customer wants to test the parts. So, we'll ship out a small quantity right away, and then we'll get production orders. And sometimes that can be a matter of -- that entire cycle can be a matter of weeks, sometimes it's longer. But of course, our goal is to make it as short as possible. Our goal is to have as many parts in stock as possible to have excellent customer support and fast responses to these customers so they can get answers to their questions, and so that they can get going on their new design using our parts.
Jeff Bernstein: That's great. Thanks. And then in the quarter, I think you announced some IECEx-certified isolators that are for, I guess environments that could be flammable, et cetera. Is that applied directly to EV battery systems or EVs overall, or is that really for other kinds of industrial applications?
Daniel Baker: Yes, it's mostly for industrial, but I suppose it could apply to EVs where there are explosive gases around. So the -- a lot of the applications are in chemical plants and sometimes even food plants. We don't always think of food plants as being an explosive environment, but things like wheat dust can be explosive. So, there's an actually a fairly large market that is concerned about what's typically called intrinsically safe. And you mentioned -- you're very well informed, you mentioned some of the acronyms that are used in the industry. So, that's an area where we have a very strong benefit proposition. It's a bit of a niche, but our parts are excellent in that environment. And we actually are -- our engineers had a little bit of fun with this. We took some competitive parts and exposed them to the same conditions as our parts, and there was smoke involved and our parts survived the extreme conditions extremely well. So, in those explosive environments, what you don't want is smoke or arcs or things that could ignite an explosion. And it highlights one more advantage of our parts, their reliability and they're ideal for some of these really demanding applications.
Jeff Bernstein: Got it. That's great. And then lastly, I think we had spoken about the potential that some of your parts could actually be powered by ambient Wi-Fi microwave energy that's found in many systems now these days. And I'm just wondering if that's advancing at all.
Daniel Baker: It is. That's a great point. So the general term that we use is energy harvesting. And our parts are extremely low power, many of them are, and they can run off of batteries, they can run off of solar or other as you say, ambient radio frequency energy. So that comes up in and things like meters and remote monitoring for the Internet of Things. That's an area that's growing and we continue to look at extremely efficient sensors and couplers that can run on very low power, very small amounts of energy. As you know we have a demo that we've had at our annual meetings and there's a YouTube video showing that we can power one of our sensors off of a blueberry, off of the energy that you can get from two electrodes in a blueberry because of the slight acidity of the of the juice. So of course, that's not really one of the most practical energy harvesting applications. But it just illustrates how little power, how few electrons it takes to power some of our components.
Jeff Bernstein: That's great. Thanks very much for the time, Dan.
Daniel Baker: Thank you, Jeff.
Operator: Thank you. Our next question comes from Jay W. Milligan [ph] of Woodworth. Your line is open.
Unidentified Analyst: Hi. This is actually Drew, we're in the same office. So I heard you say before you were expanding to your product line, is that a new -- was I correct in hearing that you expanded like a new product line or is that just replacing old products with new products?
Daniel Baker: So in the case of the sensors, it was a new product line of tunneling Magnetoresistance Gear 2 Sensors. We have Gear 2 Sensors now that are based on what's called giant Magnetoresistance, which is spintronic technology that we've been making for a number of years. Our newer technology is called tunneling Magnetoresistance and we've deployed that in several areas. But this is the first time we've deployed it into these Gear 2 Sensors. So these are used for detecting motor rotation. And as I mentioned in the prepared remarks, these particular sensors are extremely precise. They can detect rotation of a few thousandths of a degree. So that allows very precise control of motors and other mechatronics, which means that we can have robots, it enables robots or other mechatronics systems that can do more intricate, more precise jobs that they perhaps couldn't have done with all their technology. So that was the one area. And then the second area was what we call isolators that include DC to DC converters. So DC to DC converters convert power and transmit power, in addition to transmitting the data. So those components, we had some of those before and we expanded that product line. So that was an expansion of a product line that we started introducing in the past year or so into some important areas and some popular applications. And the sensor is an entirely new product line that includes several subtypes or several models that fall into that product line.
Unidentified Analyst: Okay, thank you. That's interesting. Thank you.
Daniel Baker: Thanks, Drew.
Unidentified Analyst: Yes.
Operator: Thank you. [Operator Instructions] I'm showing no further questions at this time. I'd like to turn the call back over to Daniel Baker for a brief closing.
Daniel Baker: While we were pleased to report a 64% increase in quarterly earnings driven by a 59% increase in product sales, we look forward to speaking with you again in January to discuss third quarter results. Thank you for participating in the call.
Operator: Ladies and gentlemen, this does conclude today’s conference. Thank you all for participating. You may all disconnect. Have a great day.